Operator: Thank you for standing by, and welcome to Bridgeline Digital's Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session [Operator Instructions]. I would now like to hand the call over to CFO, Thomas Windhausen. Please go ahead.
Thomas Windhausen: Thank you, and good afternoon, everyone. Thank you for joining us today. My name is Tom Windhausen. I'm the Chief Financial officer of Bridgeline Digital. I'm pleased to welcome you to our fiscal 2023 fourth quarter conference call.  On the call with us this afternoon is Ari Kahn, Bridgeline's President and CEO, who will begin the call with a discussion of our business highlights. I will then update you on our financial results for the quarter, and we will conclude by taking questions. Before we begin, I'd like to remind listeners that during this conference call, comments that we make regarding Bridgeline, that are not historic facts, are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Act of 1934, and are subject to risks and uncertainties that could cause such statements to differ materially from actual future events or results. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The internal projections and beliefs upon which we base our expectations today may change over time, and we expressly disclaim and assume no obligation to inform you if they do.  The results we report today should not be considered an indication of future performance. Changes in economic, business, competitive, technological, regulatory and other factors, such as the impact of public health measures, could cause Bridgeline's actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may have an impact on our business, please review the reports and documents filed from time to time by Bridgeline Digital with the Securities and Exchange Commission. Also, please note on the call this afternoon, we will discuss some non-GAAP financial measures when commenting on the company's financial performance. We provide a reconciliation of our GAAP financials to these non-GAAP measures in our earnings release. You can obtain a copy of our earnings release by visiting our website. I'd now like to turn the call over to Ari Kahn, Bridgeline's President and CEO. Ari?
Ari Kahn: Thank you, Tom. Good afternoon everyone. In fiscal '23 Bridgeline signed more than $6 million in sales and had a revenue renewal rate of more than 90%. The HawkSearch product line led the company's sales with HawkSearch growing to nearly 50% of Bridgeline's revenue with a renewal rate of more than 95%.  In our fourth quarter Bridgeline booked an additional 27 sales for $900,000 in contract value that adds $375,000 in annual recurring revenue. Bridgeline closed the fourth quarter with a 92% revenue renewal rate for 2 million and renewed contracts totaling $9 million in renewals for the year.  Earlier this year, we explained that a large customer on a legacy product was winding down its license over 2023 which impacted the year's revenue. But at the same time, we delivered strong sales with our core products especially HawkSearch. And our revenue mix is now driven by our core product lines, which have seen over $6 million in new customer contracts with a 95% renewal rate. This positions us for growth in 2024, and we expect HawkSearch to lead the way with our recently-released AI capabilities such as our Smart Search module.  HawkSearch sales are largely driven through our platform partnerships with BigCommerce, Salesforce and Optimizely. We also have agency partners, including Xngage and AmericanEagle.com to drive new HawkSearch sales. Sales in our fourth quarter included Digital, a top multifamily apartments marketing agency who uses Blue Rank to grow outline revenue for their customers. The agency will deliver Blue Rank SEO to accelerate its clients' online presence and help businesses access their digital reach, recognize areas for growth and implement fast and effective strategies for improvement.  Filters Fast, a number one filtration retailer in United States licensed HawkSearch to power their online search and recommendations. The HawkSearch Rapid UI feature was integrated with their custom ecommerce platform, which allowed Filters Fast to quickly launch their site.  Another new customer is Trident Enterprises. Trident Enterprises, a livestock fencing supplier, selected HawkSearch to grow online revenue on their BigCommerce website. HawkSearch will help Trident's customers quickly find products in their massive catalog using artificial intelligence-powered search and natural language processing. A prominent franchise listed in the Franchise 500 list selected Bridgeline's TruPresence franchise software to host local pages for their over 1,800 locations through TruPresence's High Performance Local Page systems.  Another important win was a top financial institution who selected Bridgeline's accessibility product, powered by accessiBe to ensure its website is accessible to all and compliant with the American Disabilities Act. Our partnerships with Optimizely and Xngage is an important part of our future growth. In October we joined Optimizely in their annual user conference where we jointly announced HawkSearch's integration with Optimizely's Configured Commerce using Xngage connector. This announcement was followed with online webinars to further promote sales.  HawkSearch is now in a unique position to provide site search for more than a 1,000 Optimizely Configured Commerce customers, and several have already purchased a license for this integration. We recently announced a reseller partnership with accessible, the market leader in web accessibility. accessiBe helps over 180,000 companies including PlayStation, Johnson & Johnson's and NBC to improve compliance with American Disability Act and similar legislation in Canada and in Europe.  Bridgeline's engineering team has focused on artificial intelligence to improve usability and productivity for both end users and site visitors. Unbound added the AI assistant to help content creation with GenAI capabilities to create new content for websites, and this same capability is now available on the HawkSearch landing page creator.  HawkSearch announced an important AI-based capability called Smart Search as part of the Keywords to Concepts initiative. Smart Search has two core capabilities that improve sales conversions for HawkSearch powered-websites, Concept Search and Visual Search.  Concept Search uses large language models to enable online shoppers to describe their goals in natural language rather than describe the product that they're searching for. For example, a shopper on a sporting goods site may search, I am going camping rather than waterproof tents. And Concept Search will return a waterproof tent as well as additional items that they may need to purchase. This is important as many shoppers may not know what specific products they need and instead only know the goal that they have, such as the fact that they're going camping. One great part of Concept Search is that it is largely language independent. It supports 50 languages, even for sites that have not yet been translated.  Visual Search allows online shoppers to upload an image or even take a picture with their iPhone to find visually similar products. Industries like fashion retail require this because customers want to find a product that is similar to the one that they've seen before but not exactly the same.  Furthering our focus on the franchise market with TruPresence, Bridgeline released Multi Engine Management in partnership with an enterprise franchise customer. Multi Engine Management allows franchisors to tune search and merchandising features across thousands of franchisee sites, and then allow individual franchisees to further refine their individual sites. For example, when a chain of clothing retailers wants to boost certain seasonal products to the top of their search results, they can do so from the Multi Engine console to automatically boost sales in every single one of their stores who have those items in stock.  Going forward, we expect HawkSearch and TruPresence to be important parts of our growth with investments in AI across both product lines that will drive new sales and upgrades in our existing customer base. Smart Search has been especially strong with seven sales in just the last two months and a pipeline of more than $700,000 in ARR since its release in September.  At this time, I'd like to turn the call over to our Chief Financial Officer, Tom Windhausen. Tom?
Thomas Windhausen: Thanks Ari. I'll provide an update of our financial results for the fourth quarter of fiscal 2023, which ended September 30, 2023. Total revenue for the quarter ended September 30, 2023 was $3.8 million compared to $4.2 million in the prior year period.  Now going into each component of revenue, our subscription and licenses revenue, which is comprised of SaaS licenses, maintenance and hosting revenue, and perpetual license revenue for the quarter ended September 30, 2023 was $3.1 million compared to $3.4 million in the prior year. As a percentage of total revenue subscription and licenses revenue was 81% of total revenue for the quarter ended 2023.  Services revenue was over $700,000 for the quarter ended September 30, '23, a slight decrease from just under $800,000 in the prior year fourth quarter. As a percentage of revenue, services revenue accounted for 19% of total revenue for the quarter ended September '23.  Our cost of revenue was $1.2 million for the quarter ended September '23, which is consistent with $1.2 million in the prior year period. And as a result, our gross profit for the quarter ended September '23 was $2.6 million, compared to $3.0 million in the prior year period. Overall, our gross profit margin was 68% for the quarter ended September '23, compared to 71% in the prior year period.  Our subscription and license gross margins were 73% for the quarter ended September '23 compared to 76% in the prior period, and our services gross margins were 46% for the quarter ended September '23 compared to 47% in the same period in '22. Our operating expenses were $10.8 million for the quarter ended September 30, '23, an increase of $3.4 million in the prior year period. Our operating expenses in the current year quarter include a $7.5 million goodwill impairment charge.  Moving to below OpEx, the change in fair value of our liability classified warrants resulted in noncash income of $200,000 compared to a slight loss in the prior year period. The change in share price was the primary driver of the change in fair value of the warrants.  Moving to the bottom line, our net loss was $8.1 million for the quarter ended September 30, 2023 compared to a net loss of $500,000 in the prior year period and the current year period, including the impact of a $7.5 million goodwill impairment.  Moving to EBITDA, our adjusted EBITDA for the quarter, September '23 was negative $100,000 compared to a positive $100,000 in the prior year period.  Moving on to our balance sheet, on September 30, '23, we had cash of $2.4 million and accounts receivable of $1.0 million. Our total debt outstanding at September 30, '23 was about EUR660,000 or $700,000. The weighted average interest rate on that is about 4.5% and principal payments are due through 2028. We have no other debt or remaining earn outs from any of our previous acquisitions on our balance sheet. And at September 30, '23 our total assets were $17.6 million, and our total liabilities were $6.2 million.  Finally, I wanted to give an update on our cap table. As of September 30, '23 our cap table included $10.4 million of outstanding shares, 39,000 shares from the Series C preferred stock on a as-converted basis, 1.7 5 million of warrants and 1.8 million options. In October '23 54,000 warrants expired. That leaves just over 1.7 million warrants currently outstanding. 900,000 warrants whose exercise price is $4 will expire in less than one year in September 2024. After that we will have approximately 800,000 warrants primarily including 180,000 warrants, with a $2.85 exercise price expiring in May '26 and 590,000 warrants with a $2.51 exercise price, which expire in November 2026.  Bridgeline looks forward to continued growth and success in fiscal '24 and beyond, as we continue our focus on revenue growth, product innovation, customer success and delivering shareholder value.  Thank you for joining us on the call today. At this time we'd like to open the call up to questions and answers. Moderator?
Operator: [Operator Instructions] Our first question comes from the line of Mr. Halpern of Taglich Brothers. Your line is open. Please go ahead, Howard.
Howard Halpern: Hi guys. Congratulations on navigating an interesting year. 
Ari Kahn: Well, thank you, Howard. Good to hear your voice.
Howard Halpern: So based on the commentary in the beginning, can we assume that the fourth quarter revenue is sort of going to be the low point and sequentially from that $3.8 million we should start to see growth quarter by quarter?
Ari Kahn: Yeah, you should start to see quarter by quarter growth. So last year, we had that important customer on a legacy product wind down beginning the first quarter, sequentially each quarter, and their final license decrease is actually Q1, this quarter that we're in right now. However, our other product lines have grown. Now we are more than half our core products which are growing and that's going to overshadow the legacy decline that we saw in the past.
Howard Halpern: How important I guess was it for you to begin developing the AI capabilities for new customers and to maybe upgrade and expand within your existing customer base?
Ari Kahn: So the advancements that have happened in AI as a science in the last two years have been amazing. My background is in AI. I got a PhD in AI. And I'm very energized and excited over everything that's happened, especially with area of research called large language models. We've been able to very quickly incorporate capabilities in large language models specifically into both HawkSearch and our TruPresence products. These capabilities are allowing our customers to increase the revenue on their websites by allowing the end users of those websites to more naturally search for products, even if they don't know what they need, to just say what they're going to do, I'm going to go camping, for instance, and have the site say, well, great, if you're going to go camping, here's the products we have that you might want to buy.  Our existing customers have tremendous demand for these capabilities. In just a very short period of time, we've signed seven licenses within our existing customer base. And we've got a huge pipeline over $700,000 annual recurring revenue. And we are already winning new customers with these capabilities as well. They really differentiate HawkSearch from anyone else in the marketplace, shows the company Bridgeline as a true innovator and leader in artificial intelligence, and brings capabilities to TruPresence that are not there natively within any other page, local pages system, especially a franchise system.  So we think that this is going to be a huge part of ecommerce 360 strategy for us, differentiator, and we've got the expertise in how to move faster than anyone else.
Howard Halpern: So as AI continues to develop, you'll be able to maintain that cutting edge for your customers? 
Ari Kahn: Yeah, it's a sprint right now to get ahead. And we are moving very quickly. We've got a lead on all of our competitors, one of them, Algolia is very strong. And I'll say that they've got some great capabilities. They're the only ones that are in the same area as we are, from a lead perspective. And one of the amazing things that's happening with AI, and this will be disruptive across many, many industries is that the foundational capabilities from companies like OpenAI, are mature and easy to develop upon.  Now, if you don't understand the underlying concepts, you can get caught up in a million dead ends. But we do understand those concepts. So we don't need the hundreds of millions of dollars to develop, for instance, a large language model ourselves and years and years of research. Now those capabilities are generally available. We know how to use them. And we're going to move quickly.  And this is going to change the software industry in many industries, because if you can understand the business problems that your customers have, then you can solve them in new ways without an army of engineers and they will level the playing fields for companies that are Bridgeline's size, with companies that are much larger and allow us to innovate through our customer relationships and our deeper understanding of the core business problems that they have, as opposed to just raw mass.  So this is our time. We're excited for 2024. We're going to make big, big moves in AI.
Howard Halpern: And does all this also factor in potential acquisitions that you will work for companies now and leverage everything that you've developed?
Ari Kahn: It does, it's interesting because, we have for a long time held as a thesis that the customer base in an acquisition is something that is often undervalued and that we -- and this was a big part of our ecommerce 360 capability, have an understanding of that, and can leverage that with new products to cross sell.  Now when you take a look at a lot of the businesses that might be acquisition targets, a lot of times they may have challenges with regards to innovating new technologies. And that might be one of the reasons why they would be a candidate target for us. But over the years, they have accumulated customers. We can approach those customers with new capabilities, bring AI swiftly into the products that they're already using, and grow on that customer base.  So that is certainly an opportunity for us in 2024. And we're continuing to look at pipelines. It's a challenge. Our stock price is not helpful with regards to doing those acquisitions obviously. But our capabilities are there. And we'll continue to evaluate companies and find the right one at the right time to add to our mix. 
Howard Halpern: Okay, well, keep up the great work, guys.
Ari Kahn: Thank you, Howard. Happy New Year.
Howard Halpern: You too.
Operator: Thank you. I would now like to turn the conference back to management for closing remarks.
Ari Kahn: Great. Well, everybody thank you for joining us today. We appreciate the continued support of all of our customers, our partners and our shareholders. We're really excited about our business, ongoing growth prospects and the new products that we're releasing. We look forward to speaking with you again in our first quarter fiscal '24 conference call that will be in February. And until then, Happy New Year, everybody. Have a great 2024.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.